Operator: Good morning, and good evening. Thank you all for joining the conference call for the SK Telecom earnings results. This conference will start with a presentation followed by a Q&A session. [Operator Instructions] Now we will begin the presentation on SK Telecom's Third Quarter of Fiscal Year 2025 Earnings Results.
Jun Chung Hee: Good morning. I am Chung Hee-Jun, IRO of SK Telecom. Let us begin the earnings conference call for Q3 of 2025. Today, we will first deliver a presentation on the financial and business highlights, followed by a Q&A session. Please note that all forward-looking statements are subject to change depending on various factors such as market and management situation. Let me now present our CFO.
Yang-Seob Kim: Good morning. This is Kim Yang-Seob, CFO of SK Telecom. The third quarter of 2025 was the period where we renew our mobile business by implementing the accountability and commitment program to overcome the cybersecurity incident and reassess company-wide AI capabilities, thereby renew our goals and determination for the future. In this quarter, the accountability and commitment program has had a significant financial impact. The consolidated revenue posted KRW 3,978.1 billion, 12.2% decline year-on-year. The M&A revenue fell by approximately KRW 547.7 billion year-on-year due to 50% tariff discount in August for all customers with the customer appreciation package and series of team membership discounts. The significant sales decline led to 90.9% year-on-year drop in operating income to KRW 48.4 billion. The net income turned negative due to the penalties from the cybersecurity incident. Given the unprecedented deterioration in the financial performance, the company inevitably decided not to declare dividends for the third quarter. While the financial impact of the incident continues to weigh on the results, we are fully committed to restoring stability and resuming dividend payments going forward. Now let me report on business updates. The fixed and mobile business are showing gradual recovery from the cybersecurity incident. The number of 5G subscribers increased by approximately 240,000 Q-on-Q to 17.26 million, and broadband and IPTV subscribers also recorded positive net additions. As part of our mobile business innovation, the company recently launched Air, a digital communication service exclusively for unlock device. Designed with an emphasis on simplicity and practicality based upon in-depth analysis of the needs of the customers in their 20s and 30s, this service is expected to play a key role in broadening our mobile customer base. The AI business is bringing together previously distributed AI capabilities under one structure. Functions and organizations, including AI DC, A dot B for enterprises, A dot service for B2C and global AI partnerships and investment and AI R&D are being reorganized into the AI CIC, establishing a more cohesive and efficient business structure. Revenue from the AI business achieved a 35.7% year-on-year increase in revenue, further expanding the foundation for achieving its mid- to long-term goals. Driven by the acquisition of the Pangyo data center and the award of the GPU leasing support program, AI DC revenue posted KRW 149.8 billion, up 53.8% year-on-year. The company continues to expand the scale and profitability of its data center operations. The Ulsan AI data center poised to be a key driver of data center revenue growth, held its groundbreaking ceremony in late August and is now under full construction. In addition, the company recently signed a memorandum of understanding with OpenAI to jointly build an AI data center dedicated for OpenAI in Korea's Southwest region, positioning itself to capture new opportunities in the rapidly evolving AI infrastructure market. Revenue posted KRW 55.7 billion, up 3.1% year-on-year. Officially launched in late June, AIX an AI agent designed for enterprise use, has received positive initial feedback as workplace AI tools that helps employees focus more on their core tasks. In this quarter, the service was rolled out to about 10 SK Group affiliates, including the company and is planned to be expanded to a total of 25 affiliates by the end of this year. Through its latest upgrade this quarter, A. has integrated cutting-edge ALM such as AX 4.0 and GPT5 while introducing a new AI message feature that alerts users to potential spam or phishing text. In addition, with its recent integration into T Map in September, A. is now accessible to a broader base of users, allowing more people to experience the service firsthand. Building on its long-standing expertise in LLM, the SK Telecom Consortium was selected in August as a core team for the proprietary AI foundation model project led by the Ministry of Science and ICT. Through the project, the company aims to further strengthen its AI competitiveness, pursue new business opportunities, and contribute to the development of sovereign AI. The past 6 months have been the most challenging period for SK Telecom since its founding. The entire organization has been fully mobilized to respond to the cybersecurity incident. While it served as an opportunity to emerge as a stronger and more secure company, it also led to the loss of many customers and continued financial impact. To move beyond this crisis toward recovery and renewed growth, the company has set a clear goal of driving continuous innovation in information security. We will strengthen execution across key areas such as increased security investment, adoption of next-generation technologies, and enhancement of the external verification system. In the telecom business, we will place customer trust restoration at the highest priority and focus on reinforcing our core competitiveness to reclaim our position as Korea's leading telecom company. At the same time, in the AI business, we will focus on delivering tangible results. SK Telecom is determined to turn this crisis into an opportunity for renewed growth and to emerge as a stronger, more resilient company. We sincerely ask for the warm encouragement and continued support of our investors and analysts as we embark on this new beginning. Thank you. Now we'll begin the Q&A.
Operator: [Operator Instructions] The first question will be provided by Jae-min Ahn, from NH Investment & Securities.
Jae-min Ahn: I have 2 questions. The first question is about dividends. During the presentation, you said that you will not declare the dividend for the third quarter, which is regrettable. And I'd like to hear about your focus on the fourth quarter dividend. And it might be a bit too early to discuss about the 2026 dividend policy. Can you give us a heads up as to whether the dividend of 2026 will return to the level of '24? The second question is about the performance. The third quarter's poor performance is something to be expected. And I'd like to ask you about the fourth quarter outlook because the free offering of the 50-gigabyte data and the discount are still ongoing. So, there could be the potential for the tariff down selling. So, I would like to hear about your 4Q performance outlook.
Yang-Seob Kim: Thank you for this question. I'd like to respond to your second question first, the impact of the incident on the third quarter performance. The financial impact from the cybersecurity incident in Q3 was mostly reflected on the revenue side. Mobile revenue declined about KRW 500 billion Q-on-Q, nearly all attributable to the incident. The largest factor was the 50% discount on August tariffs offered to all customers as part of the customer appreciation package, while enhanced membership benefits also contributed to the revenue decline. On the cost side, KRW 134.8 billion of fines imposed by the Personal Information Protection Commission was recognized as a non-operating expense in Q3. As the customer appreciation package, such as additional data and the membership benefits, will continue through the year-end. So, some decline in mobile revenue is expected to persist in Q4, but the impact should be significantly smaller than in Q3. That said, Q4 typically involves concentrated spending activities, so a cautious approach is warranted regarding operating profit. While it is too early to provide detailed guidance for fiscal year '26 before finalizing management plans, the company aims to drive a steady recovery in mobile revenue through restored customer trust while maximizing cost efficiency to return to pre-incident operating profit levels. The company's AI business, including AI DC, continues to show solid growth momentum, which is expected to contribute to a turnaround in overall performance. Further details on FY '26 guidance will be provided once management plans are finalized. Thank you. So let me respond to the question about dividends for the whole year FY'25 and FY'26. As mentioned earlier, following a resolution by the Board, the company has decided not to declare a dividend for the third quarter. This was an unavoidable decision, taking into account the financial impact of the cybersecurity incident, cash flow condition, and overall financial stability. We ask for your kind understanding. As for the Q4 dividend, it is difficult to make any definitive statement at this time, but the Board will review the matter once the full-year performance and cash flow are finalized, taking into consideration the company's growth investment capacity, financial structure, and overall capital allocation balance. As the impact of the cybersecurity incident will be mostly reflected in 2025, the operations are expected to normalize from 2026, and all the operational improvement measures will be fully implemented. And we will make every effort to restore the dividend to the pre-incident level in line with improved performance.
Operator: The following question will be presented by Heejin Lim from Citi Securities.
Heejin Lim: I have 2 questions. First, is that this is the first earnings call after the incident and the implementation of the rectification measures. So, the question is that how much of the customers that you have lost in the previous quarter, you have regained in this quarter? And what are your plans to win back this customer? And I'd like to learn about your marketing plans. The second question is about the Air that was mentioned during the earlier presentation. So, it seems that the Air is a smart service that is offered at an affordable price range. So, I'd like to understand its implications on the top line and ARPU.
Yang-Seob Kim: Thank you for this question. And this question will be answered by the marketing strategy team.
Unknown Executive: After the contract cancellation fee waiver period ended on July 14, the company focused on rebuilding customer trust to reverse the market trend. Through these efforts, the customer churn was successfully contained in August and September, resulting in a net neutral balance between additions and losses. Going forward, rather than focusing on numerical recovery of the customer churn, which could overheat the market, the company plans to pursue qualitative recovery centered on strengthening fundamental competitiveness and improving customer and revenue quality. Through granular customer analytics, we provide optimized products, subscription methods, rate plans, and value-added services tailored to customer needs across different distribution channels. The recently launched air service is a prime example designed to meet diverse customer demand. The company will continue to enhance customer satisfaction by offering segment-optimized products and services while strengthening its overall competitiveness in the market.
Yang-Seob Kim: So let me respond to your second question about Air. On October 13, the company officially launched Air, a digital communication service exclusively for unlocked devices. AI represents SK Telecom's new initiative to respond to the shift in mobile usage patterns among customers in their 20s and 30s towards SIM-only and fully digital experiences. It allows customers to complete all service procedures directly through the app without visiting offline stores. The service offers 6 simple rate plans focused on the most commonly used data tiers. While it does not support teamwork, team membership, fixed mobile bundles, or family discounts, it provides only the essential features at more affordable prices. While existing pay service cater to customers seeking a wide range of benefits such as family bundle discounts or device subsidies, Air is designed for unlocked device users who value digital convenience and practical benefits. Through the launch of Air, the company expects to meet the needs of wider customer base and broaden its marketing reach. By offering a new telecom service for unlocked device users, Air is expected to gradually expand the overall wireless subscriber base and continue to top-line growth. In terms of its price, it will be in the same range as the chief direct plan, so its impact on ARPU will be minimal.
Operator: The following question will be presented by Sohyun Park from UBS.
Sohyun Park: Two questions I have. The first question is about the Ulsan DC, this is something that you are working together with AWS and understand that the groundbreaking ceremony was held sometime at the end of August. So, I'd like to understand the progress of the Ulsan AI DC project. And when do you foresee the completion of this construction and the beginning of the operation? And if you have any additional plans to add other data center facility, please do share? The second question is about A. service. You have recently surpassed the 10 million subscriber landmark and now was able to secure a quite sizable user base. So, I'd like to understand if you have any plan to actually charge the service.
Yang-Seob Kim: So thank you for this question. First question will be answered by the AI DC development team. And the second question will be answered by the AI growth strategy team.
Unknown Executive: So let me respond to you about the progress of the Ulsan AI DC project. Construction of the Ulsan AI data center began on September 1 and is progressing smoothly according to the plan. The revenue from the Ulsan AI data center will follow a ramp-up structure and increasing in proportion to the utilization. The profit generation is expected from '27 and expected to grow steadily thereafter. The Ulsan AI data center will also serve as a key reference case marking SK Telecom's successful attraction of global big tech partners to Korea and will act as an important catalyst for future expansion of the company's AI data center business. In addition, the company is in active discussions with global investment firms and other major technology companies considering AI data center projects in Korea and across the broader APAC region, exploring various form of collaboration. Next, I'd like to discuss our data center expansion plan. As mentioned in the previous earnings call, the company aims to achieve KRW 1 trillion level revenue by operating a cumulative 300 megawatts or more of data center capacity by 2030. To this end, we are currently pursuing the construction of an additional AI data center in Korea Seoul, and the design work has just begun. Given that this location represents the last valuable site in Seoul with secured power capacity for data center development, it offers ample land to accommodate large-scale facilities. We anticipate a strong demand for the project. We will provide further details to the market as the project progresses and plans become more concrete.
Ji Hoon Kim: This is the Head of AI Business Strategy, Kim Ji Hoon. Let me respond to your second question of the plan to charge the A. service. As of the end of September, the cumulative subscriber for A. has surpassed 10,560,000, and that is a growth of 8.3% versus the end of June. When we include the other A. function users outside of the A. app, which mainly refers to the phone and the BTD, and the total MAU exceeded 10 million as well. So, we were able to achieve this performance within 2 years from the official launch, the achievement, meaning that subscriber over 10 million and the AU exceeding 10 million. That is thanks to the continuous service sophistication and active expansion into the external platform. Last June, we have launched note and briefing. In August, we offered 4.0 update on the agentic workflow function has been added, and this has garnered a strong response from the users. In September, A. is made available in T Map and contributed further to the increase in AU. The B2C paid model will be reviewed -- are under review, and that will be most likely in the form of the subscription or the branded products centering around A. pillar services, and our target launching period is the first half of 2026. Until that time, we will continue to focus on improving usability of A.'s core services and expand the customer base. So, regarding the B2B profit model, including the A. agentic workflow, that will be implemented into the T Map, and we expect the revenue generation from the fourth quarter, and that will be the beginning, and we expect a gradual expansion of the revenue.
Operator: The last question will be presented by Hong-sik Kim from Hana Securities.
Hong-sik Kim: I will have to ask some difficult questions. Then you have started the quarterly dividend payout. But this quarter, you have decided not to declare the dividend. And from the perspective of the investors who have been waiting for this cash flow from the dividend, we are at a loss, and I'd like to understand more visibility into the future. And according to the business report, there are some companies that are showing higher degree of the visibility or the productivity when it comes to the dividend. So, in that line, I'd like to ask the company, do you have any plan for the future dividend? And if so, please share. So, if you are not able to provide any dividend for the third quarter, I believe that there should be some sufficient response going forward. So please specify them. And at this point, this is, I believe the high time that you need to revisit the plan to provide dividend on a quarterly basis because you have made the disclaim or announcement some time ago, but you are not able to provide this quarterly dividend for this quarter. So, this is extremely a regrettable situation, I have to say. And the second question is that according to the report that the ground or the basis of providing the dividend is the 50% of the consolidated net income. And it is our existing understanding is that it is adjusted consolidated net income, but it turns out the decision to waiver the third quarter dividend is based upon not adjusted, but the net income of this quarter. So does that suggest that in case of any future incidents that might involve the significant onetime expenses, then there will be some wavering of the dividend for the particular quarter. So please share with us your dividend profile.
Yang-Seob Kim: So let me respond to your question. This is the CFO. So, as you might understand and appreciate that we have been providing the stable provision of the dividend based upon the strong performance. But due to these unforeseeable incidents that we're not able to provide the dividend for this quarter. As a CFO, this is an extremely unsettling situation, and I'd like to extend my sincere apology to the investors. So, we take your question and the feedback with great heart and try to figure out the best way forward. And I'd like to give you this commitment as a CFO that we will make every effort to normalize our business environment, and this is something that I will share the commitment to you on behalf of every single employee of SK Telecom. So let me respond to your question about the 50% of the adjusted consolidated net income. So, in relation to our shareholder return policy, the company classified items such as operating revenue and operating expenses, which arise from its principal business activities, as recurring income or loss items. And conversely, nonoperating income and expenses are not directly related to the operating activities are categorized as nonrecurring items. The administrative fine imposed by the PIPC this year is classified as a nonrecurring item. The customer appreciation packages, and the SIM card replacement costs are directly associated with the company's core business activities and therefore, are not regarded as one-off or nonrecurring items. The company's shareholder return policy, which is returning 50% of adjusted consolidated net income, represent a symbolic lower bound. This threshold expresses our commitment to provide dividends at a higher level than the minimum target. And historically, our dividend payout ratio has remained above this level. For additional inquiries, please contact our IR organization, and we will make sure that you get the full response.
Jun Chung Hee: This concludes our Q3 '25 earnings call. If you have any further questions, please contact us. Thank you.